Operator: Ladies and gentlemen, welcome to the Cognizant Technology Solutions third quarter 2017 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the conference over to David Nelson, Vice President, Investor Relations and Treasurer for Cognizant. Please go ahead, sir.
David Nelson: Thank you, operator, and good morning, everyone. By now, you should have received a copy of the earnings release for the company's third quarter 2017 results. If you have not, a copy is available on our website, cognizant.com. Additionally, we have loaded an investor presentation onto our website. This presentation covers the key points discussed on this call. The speakers we have on today's call are Francisco D'Souza, Chief Executive Officer; Raj Mehta, President and Karen McLoughlin, Chief Financial Officer. Before we begin, I would like to remind you that some of the comments made on today's call and some of the responses to your questions may contain forward-looking statements. These statements are subject to the risks and uncertainties as described in the company's earnings release and other filings with the SEC, including our Form 10-Q filed later today. I would now like to turn the call over to Francisco D'Souza. Please go ahead, Francisco.
Francisco D'Souza: Good morning, everyone and thank you for joining us today. Cognizant delivered solid third quarter results. Q3 revenue was $3.77 billion, which is at the high end of our guided range and up 9.1% year-over-year. Three of our four business segments were strong contributors to our performance. Healthcare, product and resources and communications and media and technology averaged double digit growth rates. Our third quarter digital related revenue grew well above company average. And to further enhance our digital capabilities, we recently announced two acquisitions. Netcentric, a leading independent Adobe partner in Europe and a leading provider of digital experience and marketing solutions for some of the world's most recognized brands. And Zone, a UK based leading independent full service digital agency that specializes in interactive digital strategy, technology and content creation. These acquisitions will broaden our portfolio of digital services and solutions. To continue with our financial results, non-GAAP EPS quarter for the quarter was $0.98 and our non-GAAP operating margin was 20%. For 2017, we delivered three consecutive quarters of strong execution at the top and bottom lines. This consistent performance underscores the soundness of our strategy and investments and the continuing strong demand for our portfolio of services. Turning to guidance, we are again raising the low end of our revenue guidance range and expect full year revenue to be in the range of $14.78 billion and $14.84 billion. And we expect our full year 2017 non-GAAP operating margin to be at least 19.6%. Now, we're in the business to help our clients adapt, compete and grow in the face of continual shifts and disruptions within their markets. Therefore, we've systematically built out significant capabilities to enable clients to transition from the physical to the digital world. Today making that shift has become mandatory for them. Most clients now know they must become digital enterprises themselves or more precisely, the right mix of physical and digital. So we work with them to transform their business, operating and technology models simultaneously. This three layer transformation is what we mean when we talk about digital at scale. In prior calls, we've discussed how we enabled this transformation, applying our deep industry knowledge, innovation, advanced technologies and consulting expertise. More recently, we've also been emphasizing our client co-innovation centers and our platform based software and solutions. The result of developing and integrating all these capabilities and intellectual property is that we are turning Cognizant into a different kind of company that's envisioning and building the digital economy. Increasingly, we see ourselves as a leading firm that develops repeatable solutions by infusing software and services to deliver business outcomes that make a real difference to clients. And this morning, I'd like to highlight how this new Cognizant is resonating with clients and winning in digital. The best place to begin is with a few client examples of digital at scale, delivering a competitive upside for Cognizant. For a US car company that's preparing for a future of ride sharing and driverless cars, a team of consultants, developers and social scientists from Cognizant and ReD associates help to reimagine the relationship between driver and automaker. And then they jointly develop a marketplace that offers mobility services to help drivers move around more easily and access services remotely from vehicle diagnostics to smart parking reservations. For a leading financial institution facing slowing growth in a major business, Cognizant developed an artificial intelligence enabled robotic investment advisor that would appeal to a new market of approximately 90 million millennials and that will enable the firm to achieve its goal of doubling retail assets under management by 2020. To envision and build this digital solution, we brought a cross-functional team from the client together with Cognizant digital business designers, strategists, technologists and financial services experts. And we also helped a leading life sciences company bring to market new drugs with proven therapeutic benefits for smaller patient populations. We assembled a team of doctors, nurses, pharmacists and technology and design consultants to drive efficiencies in the clinical development process and apply digital marketing techniques. As a result, the client was able to achieve the goal of bringing new therapies to even relatively small patient populations. Absent this new approach, these drugs might not have been economical to develop and market. The upside for Cognizant is that most of the world's companies are now dealing with these digital at scale challenges in one form or another. And therefore, we can keep combining our services and software in new ways to create repeatable solutions for a wide variety of clients. Now, enterprise transformation is such a demanding work that we make sure that all our services and solutions are organized from the client's perspective, which is why last year we established Cognizant digital business, Cognizant digital operations and Cognizant Digital systems and technology. These three practice areas, which run across our business segment, mirror our client needs and the parts of their enterprises they need to transform. And Raj will talk about how our digital practices are progressing in solving client's current and emerging challenges. Within these practices, our value to clients hinges of course on the depth, breadth and currency of our knowledge. So we've been aggressively building high-end digital skills in areas such as data science, design thinking, cyber security, the Internet of Things, artificial intelligence and automation. But strong digital skills alone are not enough. So, we combine these skills with our industry expertise to speak the language and understand the core processes and technologies of every industry we specialize it. And we draw on this knowledge to build specialized software platforms and industry specific solutions to quickly create new value for clients. You can see all of this come together for example in the way we've invested to extend our leadership as a fully integrated digital healthcare technology and operations provider. We've made major health care investments, beginning with the TriZetto healthcare administration platform, a leading software platform used by payers and providers. Earlier this year, we moved our TriZetto products to the Microsoft Azure Cloud and launched our healthcare cloud solution, a SaaS platform for healthcare payers of any size. And having completed the TMG Health acquisition in August, we've now combined TriZetto with the business process services of TMG. TMG Health has further strengthened our scalable business process as a service or BPAAS solution for the government and public health program markets. These investments along with our market leading footprint in the commercial space establish Cognizant as the top solution provider of enhanced government processed platforms, digital solutions and services for commercial and government managed healthcare programs in the US. Since TriZetto, we have invested in many other platforms in areas such as digital content operations, sales transformation, mortgage servicing and patient safety. All of these technologies and platforms provide the benefit of scale, enabling Cognizant to develop repeatable offerings that can be used by multiple clients across multiple markets. While digital at scale is a heavy lift, Cognizant has the resume to execute this transformation successfully. It starts with a high level of client trust that encourages and enables the successful co-innovation of solutions with clients. Once we've established for the future, we know how to design, prototype and scale digital experiences to reshape clients, products and business models. But building digital experiences for the front end of a client's business is not enough. We have the deep knowledge to help clients reengineer, digitize, manage and operate their core business processes and build software platform for specific processes and industries. We couple this with a mastery of the technologies, software and tools to develop digital solutions as well as the ability to combine digital technologies with clients' heritage systems and applications. And we provide much of this capability to clients using our highly efficient and reliable global delivery model, which works at scale. And finally, we have the global consulting expertise to advice on strategy, operations and technology and orchestrate all of the knowledge, services, software and solutions that come together to enable enterprise transformation. Cognizant bring this entire set of capabilities to the table. That's what continues to differentiate us in the marketplace. And by integrating all of these capabilities and intellectual property, that's how we're turning Cognizant into a different kind of company that's envisioning and building the digital economy. And now over to Raj who will talk about the work our three practices are doing to drive digital at scale for clients and then review our business segment performance. Raj?
Raj Mehta: Thanks, Frank. At the core of our competitive advantage in digital is our ability to lead clients through the three layer enterprise transformation Frank just described. This work is the focus of our three practice areas. Cognizant digital business helps clients conduct business digitally by developing virtual channels with customers and creating smart products. Our experts design, prototype and scale digital experiences to reshape clients' products and business models, all aimed at generating new growth. Cognizant digital operations draws on deep process and technology knowledge to help clients reengineer, digitize, manage and operate their core business processes to lower costs and deliver growth. And Cognizant digital systems and technology works with clients to simplify, modernize and secure their heritage, IT infrastructure and applications. In addition, our nearly 6000 consultants as well as CEOs, CFOs, Chief Operating Officers and line of business heads in addition to the CIOs, we've long worked with on issues that cut across strategy, operations and technology. Since digital at scale requires our clients to rebuild all three models, Cognizant will often apply the capabilities of all three practice areas on their behalf. Here's an example of our multi practice efforts. We're partnering with a leading provider of educational content that needed to pivot its business to deliver more affordable next generation learning that is both interactive and immersive. In the first stage of our work, Cognizant digital systems and technology helped the client set up a shared service center. The center consolidated the global systems and technologies, delivering economies of scale and saving tens of millions of dollars and have become the backbone of the clients' more agile and efficient IT operations. In the second stage, our digital business teams worked with the clients to develop a new operating model for content that leads with digital delivery. To achieve this, the operating model including building learner center design labs that will enable experienced based learning. And then the next stage, the prototypes from these labs will be developed into interactive content within their client content operations center, which Cognizant digital operations will run. By the way, this was a consulting led engagement, our consultants define the roadmap for the future of content operations and then put together the full range of services and solutions from our three practice areas. By understanding this transformation journey, our clients will achieve efficiencies that can be reinvested in designing, building and distributing tomorrow's educational content. Now, let's turn to the financial performance of our business segments and geographies. Banking and financial services grew 3.8% year-over-year. We had a solid contribution from our insurance business and double digit growth in our mid-tier banking accounts. This helped to offset the continuing weakness of large money central banks, which remain focused on optimizing their spending on legacy systems and operations as we shift investments to new areas of spend, such as digital. Among our recent wins in this segment is Voya Financial which engaged us for an end-to-end transformation that included infrastructure, security and data center transition. Voya, a long standing client of ours chose Cognizant for this expanding engagement because of our history of reliable delivery and our advanced as a service model, which will enable them to substantially improve service levels, while lowering their costs. In healthcare, our third quarter revenues were up 9.3% year-over-year. We saw consistent demand across peer clients and increasing interest in our digital, analytics, cloud and virtualization solutions. As Frank mentioned, our third quarter acquisition of TMG Health extended our position as a leading software and services healthcare partner. In fact, Cognizant now provides products and services to more than 230 organizations that support a substantial percentage of the Medicare Advantage and manage Medicaid markets. And to further enhance our healthcare consulting expertise, we acquired Top Tier Consulting, a California based healthcare management consulting firm with strength and strategy, operations, IT and business intelligence. We're well positioned to capitalize on the continuing digitization of the healthcare industry as it strives to reduce costs, improve quality of care and deploy new business models. Let's turn to products and resources and communications, media and technology. Products and resources grew 14% year-over-year. We continue to see strong growth with our manufacturing and logistics clients and our energy and utility clients, which offsets sluggish growth in retail. The strength in manufacturing reflects both our emphasis on leading with digital offerings and the fact that CSOs increasingly engage us to create smart products and transform their business models. Communications, media and technology had another strong quarter of broad based growth, up 18.2% year-over-year. Third quarter saw a solid growth across this segment, but in expansion in areas like creating and curating content. Our clients are turning to Cognizant to help them transform the delivery of their customer facing channels by improving the experience with personalized and bridge content. Now, a quick look at our performance by geography. Europe grew 16.9% and the rest of the world was up 19.9% year-over-year. Within Continental Europe, we signed a 10-year agreement to become the strategic provider of IT and business process services for a major Belgian French financial institution. The goal is to transform the technology infrastructure and lay a foundation for more agile, efficient and secure operations. This agreement and the [indiscernible] that Frank discussed. For example, the managed service platform we're developing will provide a utility for processing structured loans for other European clients. Cognizant Progress is receiving broad validation from industry hours. Everest Group named us one of only two star performers at the top of its leaders, for redefining the customer experience with digital. An IFC Research ranks Cognizant as a leader in this cloud provided research, citing our leadership in public cloud infrastructure consulting, implementation services, managed services and brokerage. I'm also pleased to mention that Fortune magazine has named Cognizant to its new Fortune Future 50 list, the rankings of US companies that are best positioned for future growth. Clients turn to us to lead them through their enterprise transformation journeys, because they simply do not have the range of skills to do this work themselves. What's more, the technology is constantly evolving and digitally skilled people remain scarce. Cognizant has long invested heavily in the retaining and reskilling of our associates, but building skills when technology changes today requires an expanded approach. That's why we are pursuing several paths to attract, build and retain the workforce of the future. These include developing and acquiring skills in advanced technologies, exploring new sources of talent and investing in public private partnerships to provide intensive technology training programs. In addition, we're building and expanding our local delivery centers across the globe. That way, we can quickly deploy talent closer to our clients while establishing training hubs with our educational partners to rescale the local workforce. Cognizant is absolutely committed to recruiting and training associates everywhere we operate. To sum up, to stay competitive, our clients are determined to do digital at scale and they view Cognizant as a go to partner to help them become digital enterprises. Karen, over to you.
Karen McLoughlin: Thank you, Raj and good morning, everyone. Q3 performance was solid and we continue to make significant progress on each element of our overall plan. Third quarter revenue of 3.77 billion was at the high end of our guidance range and increased 9.1% year-over-year. Non-GAAP operating margin, which excludes stock-based compensation expense, acquisition related expenses and realignment charges, was 20% and non-GAAP EPS was $0.98. In the third quarter, we completed the $1.5 billion accelerated share repurchase program and today, we declared a quarterly cash dividend of $0.15 per share for shareholders of record at the close of business on November 20. This dividend will be payable on November 30. Now, let me discuss additional details of our financial performance. Consulting and technology services represented 58.6% of revenue and outsourcing services 41.4% of revenue for the quarter. Consulting and technology services grew 11.3% year-over-year, driven by an increased demand for digital solutions. Outsourcing services revenue grew 6.1% from Q3 a year ago. During the third quarter, 38% of our revenues came from fixed price contracts. We continue to make progress towards shifting the mix of our business over the longer term towards more fixed price or managed services arrangement. We added seven strategic customers in the quarter, defined as the potential to generate at least 5 million to 15 million or more in annual revenue. This brings our total number of strategic clients to 350. And now moving to an update on margins. In Q3, we continued to take actions that will improve our cost structure and operating margins, while allowing us to continue to invest in the business for growth. These actions resulted in approximately $19 million of charges related to the realignment program, primarily from severance costs incurred in the quarter. Going forward, we expect to incur additional costs related to advisory fees, severance, lease termination and facility consolidation costs. Additionally, as we accelerate our pursuit of broad based high value digital transformation work, we will continue to reassess less profitable opportunities that do not further our position in the digital marketplace. We remain committed to reaching our target of 22% non-GAAP operating margin in 2019 by balancing growth and profitability and to date have made significant progress towards this target. Utilization in Q3 moved higher, as we continued to effect structural changes in our headcount management. We expect that these changes will help improve our resource alignment, help drive greater operational efficiency and thus improve our profitability. While our overall headcount was essentially flat, growth hires were almost 14,000 in the quarter. Annualized attrition of 22.5% during the quarter, including BPO and trainees, increased from 16.6% in the year ago period, but declined over 100 basis points from the previous quarter. While our attrition level was higher than normal, partially due to the continuing impact from performance management and severance programs initiated in the first half of the year, we did see an increase in voluntary attrition during the quarter. While we will of course carefully manage headcount, we will continue to hire and invest in critical skills needed to grow our digital business as well as work to bring voluntary attrition back to more normal levels. Our offshore utilization for the quarter was 79%. Offshore utilization, excluding recent college graduates joining our training program, was 82% and on-site utilization was 93%. Turning to our balance sheet, which remains very healthy. We finished the quarter with $4.7 billion of cash and short term investments. We had strong operating cash flow in the quarter, generating 773 million, reflecting improved profitability of the business. Receivables were 2.9 billion at the end of the quarter and we finished the quarter with a DSO, including unbilled receivables of 74 days, down slightly from the year ago period. Our unbilled receivables balance was 403 million, broadly flat from the end of Q2. We built approximately 61% of the Q3 unbilled balance in October. Our outstanding debt balance was 823 million at the end of the quarter and there was no outstanding balance on our revolver. As part of our ongoing commitment to return capital to shareholders, we completed the $1.5 billion ASR in quarter three and received and retired 2.2 million shares in addition to the 21.5 million shares received and retired at the commencement of the ASR in March. Our diluted share count was 592 million shares for the current quarter. I would now like to comment on our outlook for Q4 and the full year 2017. Following our continued strong performance, we are again raising the low end of our full year 2017 guidance range to be in the range of 14.78 billion and 14.84 billion or year-over-year growth of 9.5% to 10%. Our guidance is based on the current exchange rate at the time at which we are providing the guidance and does not forecast for potential currency fluctuations over the course of the year. For the fourth quarter of 2017, we expect to deliver revenue in the range of 3.79 billion to 3.85 billion. For the fourth quarter, we expect to deliver non-GAAP EPS of at least $0.95. This guidance anticipates a share count of approximately 592 million shares and a tax rate of approximately 26%. For the full year 2017, we expect non-GAAP operating margins to be at least 19.6% and to deliver a non-GAAP EPS of at least $3.70. This guidance anticipates the full year share count of approximately 595 million shares and a tax rate of approximately 23%. This guidance includes the full impact of the $1.5 billion ASR. We remain committed to our plan to repurchase an additional 1.2 billion by the end of 2018 and we'll provide additional details on that program at a later date. Our non-GAAP EPS guidance excludes net non-operating foreign currency exchange gains and losses, stock-based compensation, acquisition related expenses and amortization and realignment charges. For the full year, it also excludes the recognition in Q1 of the income tax benefit that was previously unrecognized. Our guidance does not account for an extensional impact from events like changes to immigration or tax policies. In summary, we have continued our momentum throughout 2017 and we expect to close out the year with solid revenue and earnings growth along with a substantial capital return to shareholders. Operator, we can open the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Tien-Tsin Huang with JPMorgan.
Tien-Tsin Huang: Just I want to ask actually about your margin performance, especially in SG&A, which stood out, it was especially low versus our model. So a couple of questions there. Just the confidence to have the lower SG&A so far hasn't hurt your sales pipeline, your ability to replenish the pipeline, the backlog and then also just gross margin implications in the fourth quarter and next year, given all the moving pieces with utilization and wages and whatnot. I know, you managed the overall margin, but just kind of any help between the two lines would be appreciated.
Karen McLoughlin: This is Karen. I think we've been very thoughtful around cost management this year. We knew going into 2017 based on the work that we did late last year that there were opportunities to more effectively manage our SG&A spend, particularly around the corporate functions and we've talked about things like facilities and other costs within SG&A. So, well, SG&A overall was down in terms of dollars, Q3 versus Q3 of last year. We're very comfortable that we have protected the investments that we need to make to continue to grow the business. And, I think you'll see SG&A move around a little bit from quarter-to-quarter as we continue on that path. In terms of gross margin, it is obviously trending a little bit lower than where it had been. Part of what happened in Q3 or a significant part of what happened is that we did take up our variable compensation accrual rates during the quarter. Obviously, the business has performed very well this year. It's been a tough year for a lot of our folks as we've gone through a lot of this transition and so we wanted to ensure that, as we move into next year that we can pay out good variable compensation for the year. So that did put some pressure on the Q3 gross margin as of the year-to-date catch up. What you'll see as we move into Q4 is that raises and promotions will kick in, in Q4 effective in October. Typically that's been in the July timeframe, we did defer that this year with all the transition happening in the company. And then as you said, as we move into 2018 and beyond we'll continue to manage to the operating margin targets that we've set for the organization.
Operator: Thank you. Our next question comes from line of Brian Essex with Morgan Stanley. Please proceed with your question.
Brian Essex: Karen, I was wondering if you can comment a little bit on contribution of TMG in the quarter, how that might impact your full-year guidance. And the opportunity there is that going to be maybe similar to TriZetto where you have longer sales cycles or how do you think about that and how that kind of builds into the healthcare portion of your platform.
Karen McLoughlin: So thanks Brian, so the TMG deal did close towards the end of the third quarter. So there's a small amount of revenue in Q3 for that transaction. As you may know the vast majority of that work is with one client and then there were a number of other third-party clients as part of that contract. It will start to move towards a steady-state essentially in Q4. We have not broken out the size of the transaction. But it is essentially straight line revenue for the next two years and then it will move to more of a transaction based pricing model in the future. There's a combination of contract structures in that deal, but roughly speaking it will be straight line for the next few quarters of revenue.
Brian Essex: I know you had some in the healthcare segment exposure to some consolidation, the rumors around a transaction with Aetna and consolidation in the CRO market, are you seeing any of that, it doesn't really seem like you are, but just wondering if you - that's coming up in conversation at all.
Karen McLoughlin: Go ahead. I'll let Raj comment on that.
Raj Mehta: Look Brain, I think over our healthcare - healthcare just remains strong for us. Nothing or any conversations or impacts right now of any potential acquisitions, I think overall as you know we've invested a lot in our healthcare business. We see strong growth in both the mid-size payers along with large payer company out there. In addition to that we continue to see a lot of opportunities on our BPaaS solutions.
Karen McLoughlin: I think a move that remains to be seen what happens if some of those deals go through, the Aetna CVS deal for example. I think it's early to tell at this point.
Operator: Thank you. Our next question comes from the line of Keith Bachman with BMO Capital Markets. Please proceed with your question.
Keith Bachman: Hi, I want to follow on Tien-Tsin's question a little bit on the margins. It looks your guiding operating margins on a non-GAAP basis in Q4 to be called the mid-19 level. And calendar year it sounds Q4 would also still benefit from some workforce realignment. My question is, can I think you said that in next year, calendar '18 you wouldn't anticipate further headcount reductions. But I'm unclear on without the headcount reductions, how do you continue to advance those operating margins, particularly given some of the gross margin pressure that still seems to be exhibiting. If you could talk a little bit about the forces from here, how do you continue to try to march those operating margins up, when most your competitors' margins are eroding.
Karen McLoughlin: Keith, let me break that into a few pieces. In terms of the Q4 margin, we are guiding to a slightly lower Q4 margin than Q3 that is because of the raises and promotions that will kick in in October that's typically about 100 basis points of margin decline. We have obviously not paid all of that into our guidance because we will continue to see some of the benefits occurring from the cost optimization that we've taken so far. So that's what's pushing down the Q4 margins. As we move into 2018 and beyond. We haven't really said that you know we haven't made a statement one way or the other frankly about headcount and what will happen to headcount next year. Margin improvement as we move into 2018 and then into 2019, 2018 will be a continuation of the cost savings that we generated this year and a number of those cost savings didn't start until the mid-summer timeframe. So we'll get the full-year benefit of that. There are additional cost saving opportunities that we continue to look at, whether it be around facilities or travel or other types of expenses as well as headcount and what that means going forward. And then as we move further into '18 and into 2019, we have said that a lot of the margin improvement would come from the shift in the business towards the higher, you know, continuing to move towards higher margin digital business as well as CPaaS, our platform business becomes a larger part of the organization and starts to mature and starts to reach strong margin profile in that business as well.
Operator: Thank you. Our next question comes from the line of Lisa Ellis with AllianceBernstein. Please proceed with your question.
Lisa Ellis: I guess another question on this point about, you now, now that you've got utilization levels back to basically their all-time highs, 93 onsite and about 80 offshore. Can you give some detail around, so what you're doing from a pyramid structure and operation efficiency initiatives to centrally take utilization up further as we look forward. I know you've talked about how you're sort of taking Cognizant into a new stage of maturity when it comes to how you're managing the labor model. Can you just give a little bit of color around that? It feels like now you're sort of at the stage where you've gotten - you've kind of gotten back to where you used to be and from here you've got to take it up one leg further.
Karen McLoughlin: So Lisa, I think that's fair in a sense. I think with utilization what we've always said is that as the business continues to grow and mature that utilization rate should continue to trend upwards over time. At 93% onsite we can run the business very comfortably. I think you can get to 94, maybe 95, not sure we can get above 95 on a consistent basis. Certainly offshore as we continue to grow we think there's opportunity to continue to take up utilization. It won't be quarter to quarter, but certainly over the long term that trend line should move upwards. I think as you mentioned another one of the big levers we've been looking at is the pyramid. Historically, we have had a more top heavy pyramid than our peer group and in part to the business that makes a lot of sense, and other parts of the business we think there's opportunity to optimize that. We are also starting to see things like automation kick in both on the delivery side of the organization as well as in our corporate function. So if I look at my finance organization for example, we're using automation to help streamline some of our processes in the organization which allows us to scale the business without having to add headcount. So I think you'll see a number of those opportunities over the next three years.
Operator: Thank you. Our next question comes from the line of Jim Schneider with Goldman Sachs. Please proceed with your question.
Jim Schneider: I was wondering if you can maybe just address the financials vertical a little bit. Raj, you provided some helpful color, the difference between the weakness you're seeing from money center banks and with some of the strength in insurance in the smaller banks. Can you maybe give us the sense of, in your client conversations, what they are saying in terms of balancing increased IT budgets potentially in 2018, whether that is part of the conversation or not versus optimization with some legacy systems and kind of directionally where you see their total consulting and outsourcing spend budgets going next year.
Raj Mehta: Jim thanks, this is Raj here. So look at overall financial services, its strong growth that we're seeing on the insurance space clients. Continued a lot of work in terms of digital and obviously looking at new areas in terms of continued optimizing work that we're doing at those clients. The banks it's a mixed story, I mean we're you know as I mentioned earlier, we're seeing double-digit growth on the regional banks. But some of the challenges that exist on these large money center banks that we have and there there's I guess a tale of two stories, right. There's obviously there is continual focus on the cost optimization. And they're obviously leveraging that to free up some of the dollars in terms of investing on the digital side of the business. Now the good news is, obviously we're engaged in many of those digital opportunities with those banks. And actually our digital revenues is growing at those banks in line with the rest of the company as well too. But we haven't seen there an influx of new budgets, obviously we're seeing the whole focus of in terms of continued optimization, freeing up dollars and investing on the digital side.
Operator: Thank you. Our next question comes from the line of Bryan Keane with Deutsche Bank. Please proceed with your question.
Bryan Keane: Just looking as, Francisco, just an overall feel for how you guys are doing in transitioning Cognizant's business model to this new model to plan to get to 22% adjusted operating margins in two years. Just curious, so we had a plan, app plan everything is going exactly how you thought, just wanted to get just a feel for that. And then Karen just on digital is there a percentage of total revenues digital now represents and maybe the growth rate. Thanks so much.
Francisco D'Souza: I'll talk a little bit about the overall plan. I think we're roughly right on track right where we expected to be. I think about the transition or the shift to digital in two pieces that sort of the services that we offer to clients. And I think we continue to make great progress there. I'll let Karen comment on the overall digital revenue, it grew again double digit - at a double digit pace much ahead company average this quarter. The two acquisitions that we announced a few days ago Netcentric and Zone add to that capability. And we feel good about the transition of the service mix to digital. I think it's also important that just to note that as we've said before that today our portfolio if you look at the entire portfolio of digital revenue it is running at a higher margin than the rest of the business. So overall just a very healthy mix shift going on and I think that that will continue to unfold through 2018 and beyond. The other side of that - of this transition that we talked about when we laid out the plan for you a few quarters ago, at the beginning of this year is on the margin improvement side. And I think we've demonstrated there that we're well on track there. This year, if anything I think we're a little bit ahead of where we thought we'd be. That's good. And we'll continue to, you know, we feel very comfortable as Karen said in her prepared remarks with a target of 22% by 2019. And I think we'll just keep executing on that. And I'll turn it Karen to talk about percent of digit revenue.
Karen McLoughlin: So we did not break out the percentage of digital revenue this quarter. As you may remember last quarter we said it was about 26% of revenue, it continues to grow upwards of 25% year-over-year and continues to become a larger part of the business each quarter. One of the things we've also been looking at with Raj referred to in his comments about the FS is that we're seeing very nice traction nearly across all of the business units and all of the industry. So continue to see very good progress there and will continue to update as there's relevant information on that metric.
Operator: Thank you. Our next question comes from line of Moshe Katri with Wedbush Securities. Please proceed with your question.
Moshe Katri: Going back to the commentary regarding the large money center banks and their spending patterns. Raj, is there any indication about the outlook for 2018, and is there an expectation internally in terms of when some of those deals that you're talking about could actually start converting. Thanks.
Raj Mehta: So look it's a little bit too early right now to start looking into 2018. Obviously I think the bigger opportunity comes as what we've always talked about is digital scale. And many of these large money center banks we have numerous engagements going on. But I think as those opportunities become larger that's when we have an opportunity to see back to the growth that we've gotten accustomed to at those banks.
Francisco D'Souza: Having said that, Moshe it's Frank, I think it's worth adding one additional piece of color for you which is that, Karen mentioned that last quarter digital revenue as a percent of total company revenue was about 26%. We are right around there in financial services as well. So this isn't a story of we're waiting for digital revenue and financial services to convert. We're already doing a substantial amount of work in digital, in financial services. So I don't think by any stretch that we are not a significant player in financial - in the digital aspects of financial services as these big money center banks start to think about and start to execute on their digital plans.
Moshe Katri: But would you say that some of those deals that you're talking to those large banks about could - if they do convert into digital could be pretty significant down the road?
Francisco D'Souza: Again, I want to separate. We are already doing a considerable amount of work. So, yet there are deals that if they convert could be significant going down the road, but we are already - the point I was making, Moshe, is that today digital is already and financial services is roughly in line with our company average. So think about the 26% number, we're right around there in financial services. So we're already doing a considerable amount of work in digital and financial services.
Karen McLoughlin: Moshe, this is Karen, let me just sort of wrap that. I think as both Frank and Raj talked like strong digital business and banking, I think it is too early to say whether or not that results in a net increase in growth in 2018. We're not making any commentary right now on 2018 or whether we continue to see the shift that we've been seeing with the banks today which is they take money from one pocket in terms of their legacy spend or their business as usual spend and redirect that spend to digital. How that balance plays out in 2018 I think it's too early to tell.
Operator: Thank you. Our next question comes from the line of Arvind Anil Ramnani with KeyBanc Capital Markets. Please proceed with your question.
Arvind Anil Ramnani: I just had a question on your healthcare business over the past few years your healthcare capabilities has been materially enhanced based on the internal capabilities, acquisitions, your client base. At the same time, the healthcare market has changed and expected to continue to change with value based care et cetera. How do you all think of the opportunity over this space over the next two three years and how do you feel you all are positioned?
Francisco D'Souza: Look I think Arvind, I'll turn it, I'll let Raj answer as well, but it's Frank. Look I think changes is, change plays to our strengths actually. As the healthcare market changes and evolves we have just sort of a very strong end to end portfolio of service offerings whether that's consulting to help our clients figure out what they need to do to respond to the changes, whether that's operating in terms of our BPaaS offerings and our ability to run core parts of the operation for our client or whether that's on the technology front as they think about modernizing and digitizing their technology backbone. I think we're very well positioned both at the business model, the operating model and the technology model level. So as these changes come to healthcare given that we have such a strong portfolio of assets both software assets, intellectual property in the form of our people and capabilities. I think you put that together and we're very - we feel like we're very well positioned for healthcare going forward.
Raj Mehta: I would just add to Frank's comments, I think we've obviously seen a lot of traction around our BPaaS solutions. And then strong growth in the payers rate as well. But I think as we move look out, as the healthcare industry continues to evolve, you're starting to see a lot of providers, large providers come up with the own plans. And I think that's a good opportunity for us as well with Evolution, obviously there are showing a lot of interest in our BPaaS solution as well. So I think we're well positioned and continue to look forward for next year.
Operator: Thank you. Our next question comes from the line of Darrin Peller with Barclays. Please proceed with your question.
Darrin Peller: First question is about EmblemHealth and the impact on the quarter. How much was that still not thrown over from third quarter last year. And I guess that should be to lay out in the fourth quarter. I think we estimated around 100 bps or so to the overall growth rate, but just whether TMG is outstanding there. And then just a follow up on capital allocation, you finished 1.5 billion accelerated buyback. I know you have a couple of billion in your authorization left. I don't remember ever hearing, but can you tell us what you've - what you guys would want to do for capital allocation towards acquisitions, just given the digital push. And on that topic what was inorganic, what contributed to inorganic growth this year from acquisitions. Thanks guys.
Karen McLoughlin: So Darrin, this is Karen, let me start and Raj and Frank can join in if necessary. We start with the capital allocation question around the buyback, as you mentioned that we completed the ASR in Q3. We have also committed that between now and the end of 2018, we'll allocate another $1.2 billion back to a buyback program we haven't defined that we'll provide more color on that in an appropriate time. We have not broken out the dollars that we're committing towards M&A. But certainly in our capital allocation strategy we have we've held a nice fair amount for M&A deals. We've talked now for some time about ramping up the volume of those deals. And obviously we've been doing that closed or find rather not closed two deals last week. And certainly our pipeline of M&A deals is quite active and so we would expect to continue to ramp up that volume of deals. And we will keep a nice balance between returning cash to shareholders services both organic and inorganic growth for the organization. In terms of TMG and Emblem, so Emblem as you said did start to lap in the middle of Q3. So small incremental year-over-year revenue growth for Emblem and then in Q4 that will fully lap. And then TMG as we said we haven't broken out the size of the TMG relationship, but it did start in the last part of the third quarter and we'll obviously ramp to full scale in Q4. In terms of overall organic versus inorganic growth, the inorganic growth in 2017 is very small. We had a couple of [indiscernible] so forth, which were all very small deals that we've closed over the last 12 months, a very small percentage of growth this year has been from inorganic.
Operator: Thank you. Our next question comes from the line of Bryan Bergin with Cowen & Company. Please proceed with your question.
Bryan Bergin: I wanted to ask on the marketing related acquisitions you had last week and then others in the past. Can you just talk about how you're integrating them into your tech services or if you're running them autonomously, how that will work? And then what are really the top two or three KPIs you're using to determine the right targets for you? Thanks.
Francisco D'Souza: It's Frank, let me take that. When closed the two acquisitions will become part of the Cognizant digital business practice area. So recall that as I said in my prepared remarks, we have - and Raj talked about as well, three big practice areas, Cognizant Digital Business, Cognizant Digital Operations and Cognizant Digital Systems and Technology, these two acquisitions will become part of Cognizant Digital Business. We will continue to let them operate relatively independently, but of course we have a synergy plan which is largely focused on revenue synergies around taking their capabilities and taking those to a broad range of Cognizant clients. We do a tremendous amount of marketing work today for our clients across all three practice areas. So in Cognizant Digital Business, we're doing marketing work that relates to content, content creation, marketing, marketing strategy, channels those kinds of things. In Cognizant Digital Operations we're doing marketing related work that's largely around content and content management, content creation, and curation that Raj spoke a little bit about in his prepared remarks. And in Cognizant Digital Systems and Technology, we're doing a lot of marketing work that you can think about in the broad area of marketing technology, right. So across all of our three practice areas, we're doing a significant amount of marketing related work. These acquisitions in a sense will allow us to put a front end on a lot of that work that we're doing and take that to a client in a more integrated and holistic way. And so that's broad plan. So we'll run them relatively independently, let them continue to do the great work that they've been doing for their clients. We'll execute on the revenue synergy by bringing them - largely by bringing them into our clients. We think there maybe some opportunity to cross-sell our traditional services into their clients and we'll continue to execute on that going forward.
Operator: Thank you. Our next question comes from the line of Anil Doradla with William Blair. Please proceed with your question.
Anil Doradla: So Francisco and Karen, you guys talked about the 22% target. So that's about 200, 250 bps from where we're going to exit this year. So if I look at the trajectory, is most of that increase going to be coming in '19 or is it '18 or is it linearly spaced out based on some of the efforts that you guys are doing.
Karen McLoughlin: So Anil, we obviously haven't given 2018 guidance yet, but you should expect to see some benefit next year and then the last part of it will be in 2019.
Anil Doradla: Francisco, you talked about repeatable business in your opening comments. Are you introducing some new metrics to kind of quantify that? Some are the obvious metrics. But are you creating some new incremental metrics to emphasize on some of that repeatable aspect of the business.
Francisco D'Souza: Yeah, I think what I was referring to when I talked about repeatable is the sort of the solution packages and solution offerings that we're creating which we've been talking to you about in the past things like our BPaaS offerings and so on and so forth. By combining sort of our services and software capabilities increasingly together, we're creating these - think of them as solution offerings capabilities that we take to the market. We've always as a company tracked repeat business from our existing clients. And I think that's where you'll really start - where you really see it continue to play out is repeat business from our existing clients because that's going to be the metric that we focus on is to say, are we continuing to be relevant to our existing clients. And to be relevant to our existing clients, we've got to continue to innovate, we've got to continue to find new sources of value and that shows up in repeat business because every year or every period, our clients are assessing the work we're doing for them and they're choosing to give us new work based on the relevance of that work. So the metric that we use internally is repeat business from our existing customer base which is the metric we've been tracking from the beginning as far as I can remember.
Operator: Thank you. Ladies and gentlemen we have come to the end of our time allowed for questions. I'd like to turn the call back to Mr. D'Souza for any closing comments.
Francisco D'Souza: Well, thanks very much. Look everyone thanks again for joining us today and thanks for your questions. We're pleased with the results this quarter and I look forward to speaking with you again next quarter. Thank you.
Operator: Thank you. This concludes today's Cognizant Technology Solutions third quarter 2017 earnings call. You may now disconnect.